Johan Svanstrom: Good morning, everyone, and welcome to the presentation of Rightmove's results for the first 6 months of 2025. I'm joined today by Rory Hook, our CFO; and Ben Winstanley, Director of IR. First, our KPIs for H1 2025. We saw revenue growth of 10%, and that was supported by ARPA and membership increases in the core business as well as a strong contribution from our strategic growth areas. Underlying operating profit growth of 9% reflects ongoing investment in people and technology. Underlying EPS grew by 11%, and we have increased the interim DPS by 9%. In line with our long-standing policy, we first invest in the business and then return surplus cash to shareholders, which in the period was GBP 65 million via share buybacks and GBP 47 million via dividends, together totaling GBP 112 million, an increase of 12% on H1 '24. And finally, time on site at 9.1 billion minutes was the second highest on record, ahead of H1 last year and only beaten by the COVID burst in '21. Now these strong numbers come from a great base position of the business and our measured and ongoing investment in the platform. Here, we're highlighting some, but really only some of the execution progress in H1 that the team has delivered. Across our consumer and partner pillars on the left of this slide, all of the metrics that we have focused on for some time are strong, and we are adding to them all the time. Some examples include seeing a 3x growth in our social media engagement to, of course, connect especially with younger audiences on their preferred channels. We're rapidly scaling some of our newer user features for valuation of homes. And for partners, we saw a strong engagement and good early take-up of the Ascend packages in new homes. In the strategic growth areas, we're seeing ongoing product delivery across commercial mortgages and rental services as well as good business volume growth in the half. And on the right, our expanded platform is really motoring. We have an energized team delivering over 3,000 releases in this half. AI is increasingly playing into our product road map, of course, also increasingly used for internal purposes. Finally, while we are all about creating increased value for our platform stakeholders, we do take an award when they come. So I'm both glad and proud to say that we won the Tech Business of the Year PLC at the PLC Awards, and we also became a Sunday Times Best Place to Work for a second year running. Now here, we're showing you the summary of our investment case just as we did in February, and the components remain as powerful as ever in our mind. Strong foundations on the left of the page has built the U.K.'s leading platform in this category over exactly 25 years for this month. The green boxes in the middle show that with our expanded growth strategy, targeted investment efforts, data and innovation and a very experienced team, we remain committed to delivering significant value as set out on the right. Our mindset is really focused on excellence and at an increased pace while also building our platform and services for the long run. So with some definite ongoing macroeconomic uncertainty in the world in this half, we thought it would be helpful to remind you of how the Rightmove platform has delivered significant value through many different financial and property end markets. The last 20 years have seen 3 U.K. recessions, a global pandemic, 7 prime ministers and all of 21 housing ministers. Through all of that, we have delivered very clear and growing value to consumers and partners in an increasingly digital and data-led way. This has generated strong and compounding business results. You can see it in the top line graph top left and of course, delivering on the back of balanced investment. For that, we have dropped through to a good story and compounding story on EBIT on the top right. And with a capital-efficient business model, this has generated significant cash as seen on the bottom left. The cash has either been reinvested or returned to shareholders efficiently and predictably seen on the bottom right. Now these results are built on a powerful platform, which is continually optimized for both consumers and partners. One benchmark shown here is the long-running consistent position of similar web measured share of consumer time spent. We find that similar web trends track our Rightmove data movements relatively well. For reference, Comscore again sat over 80%. So starting with consumers. For 25 years, our platform and marketing has built a much loved and much used brand. In H1, over 85% of our traffic was organic and direct, and that really speaks to our brand saliency. Our app usage metrics strengthened in the period and consumers spent almost 10x as much time on our app as on the #2. We're partway through embedding a new CRM system that enables increased segmentation and personalization for the more than 9 million consumers now signed up to marketing and of course, connecting to their on-site usage. On our apps, we more than doubled the push notifications opened in June '25 compared to June '24. We continue to drive log-in rates and build new and increasingly personalized features. We more than doubled the number of properties tracked through online valuations and also renovations calculated by users since December. Those are good examples how we also gather deeper data insights from which we, of course, can execute services in the future. The net result for consumers is a growing one-stop shop, which reinforces our already strong engagement levels, and that's also really part of the fundamental value that we deliver to partners. If you move to the right, our partner proposition is built on scale. It means we can leverage our big data for partners of all kinds, building both product choice and quality of service on top. We continue to focus on the suite of inclusive services that we formed into the Building Success Together program last year. We registered over 50 million partner engagements in the period, saw a growing use of our 2 partner-facing platforms, Rightmove Plus and Rightmove Hub, and we had more than 32,000 account manager meetings. In the period, we actually entirely refreshed the Rightmove Hub, which is our training platform, now used by 70% of our estate agency partners with over 52,000 users. We have added dedicated training spaces for individuals and their managers and made it even easier to access qualification training such as the Certificate for Estate and Lettings Agents or CELA. We keep working hard and holistically for our partners. In H1, this showed up through very, very strong retention numbers, record high agent sentiment scores for Rightmove with a meaningful gap to our competition and an increased level of upgrades from Essential and Enhanced packages to our top package Optimiser Edge as well as spend beyond our package threshold levels. So to wrap up my initial section here, one slide on our partners' end markets, A.K. the property market. We start top left for resale. The stamp duty changes pulled forward some demand in Q1. We saw a little bit of a rebalancing in Q2, resulting in a 3% increase in demand for H1 year-on-year. Combined with 8% more new listings, we have seen 6% more sales agreed than in H1 '24 and per HMRC data, 20% more completions to the end of May, particularly strong around that stamp duty deadline as of March, of course. Today, available stock remains at a 10-year high. We expect modest price growth of 2% for the full year and around 1.15 million transactions. Seller pricing expectations remain important, and this is where both our digital tools and foremost our agents expertise plays a big role. Overall, we believe there is a positive backdrop for agent commissions and business ambitions, and this is one of the factors behind an increase in agent formation, which Rory will cover a little bit later. However, the elevated levels of resale stock are less helpful for new homes developers. They compete with resale stock for buyer demand. The top right shows new homes as a proportion of total for sale stock on our site. Now as a reminder, we have all of the major midsized developers as partners, so the website reflects almost every development currently in the market. As a proportion of total for sale stock on Rightmove and by implication of the market, new homes are currently at a post-COVID low, less than 9.5% of total supply. The lack of supply in the new homes market is shown in the ONS data bottom right. Starts have been below completions every quarter since Q3 '23, and the message from our housebuilding partners remains that they are optimistic of increased volumes, but that it will take time to work through the system. Remember, we do need to see a significant increase in build volumes to meet government aspirations of 1.5 million new homes within the parliamentary period. On the rental side, bottom left, increased supply and reduced demand continue to improve the more extreme imbalance between supply and demand that we've seen in recent years. So the average number of inquiries per available property of 11 in H1 is still well above the pre-COVID average of 67. We are well positioned with both our listings advertising platform and the Lead to Keys product to serve all variations of the lettings market. And of course, across all of these as a key driver of all subsegments really in the property market, mortgage rates continued downward yet measured trajectory. At the 30th of June, the average 5-year fixed rate was 4.6% compared to just above 5% at the start of '24. This is all per Rightmove's data mortgage tracker. So with that, let me pass over to Rory for more detail on our results and the financial outlook.
Ruaridh Hook: Thank you, Johan.  Good morning, everyone. I'm delighted to present our financial results for the first 6 months of 2025. Group revenue has increased by 10% on H1 2024 as the solid momentum we saw in H2 last year has continued in H1 2025 with strong growth across all parts of the business. Starting with Agency. Revenues increased by 9% to GBP 150.8 million. Looking at the chart on the right-hand side, the light blue bars showed, this was predominantly ARPA led, supported by a GBP 2 million contribution from increased agency membership numbers. In New Homes, revenue rose 11% to GBP 37.5 million. Strong ARPA growth generated revenue growth of GBP 2.7 million, which you can see in the dark green bars on the chart. A small increase in development numbers contributed GBP 0.9 million of revenue growth. Moving to the bottom of the table, we saw strong revenue growth in our 3 strategic growth areas, which increased by 37% to GBP 15.3 million, now contributing 7% of total revenue, up from 6% a year ago. Commercial revenues increased by 14% to GBP 7.4 million with an increase of 17% in membership since December. Mortgages revenue was up over 100% to GBP 4.5 million. The majority of revenue remains from our mortgage and principal proposition. Mortgages benefited from the decreasing mortgage rates following the 2 interest rate cuts, and we continue to evolve and improve the proposition, resulting in increased traffic to our lender partner. Rental services made up of our Lead to Keys product, referencing an ancillary services saw revenues up 34%. And for completeness, the non-SGA parts of other revenues being data services, overseas and third-party advertising grew 3% year-on-year.  Moving to ARPA.  We saw an increase of overall ARPA by GBP 112 to GBP 1,609, of which 61% was driven by product growth. We had a record absolute ARPA growth last H2, largely driven by the timing of Optimiser 2020 migration. So whilst we will see ARPA growth this second half, when we come to a year-on-year comparison in December, we expect overall 2025 ARPA growth to remain back in our guidance range of GBP 95 to GBP 105. Estate agency added GBP 103 of ARPA to GBP 1,520, 62% of estate agency ARPA growth came from product. The largest driver of ARPA growth was Optimiser Edge. You can see from the pie chart, the new additions to our top package come from multiple sources. While 33% of independent branches now on Optimiser Edge is a good proportion, we still have plenty of room to grow that. The chart on the bottom shows that once a partner chooses to upgrade with the average upgrade just over GBP 250, their spend continues to rise as they purchase more products. ARPA keeps increasing beyond the first month with an average incremental uplift of almost GBP 300 at the start of their second year on the package. We expect this to continue to help drive ARPA this year and next. The other driver of our agency ARPA was discretionary spend on products. As Johan mentioned, over half our partners purchased products above their committed threshold. The flexibility of our packages means partners can choose which products to purchase, giving them choice depending on their branch needs as well as changing market dynamics. We saw the latter this year with the largest increase of 13% in our property products such as Premium Listing and Featured Property. Agents tend to use these to close their instruction, to relaunch a property at a lower price or help their property stand out, currently important amongst a record amount of available stock. This shows the value and flexibility of Rightmove subscription in a changing market. Moving on to New Homes. We again saw strong New Homes ARPA growing by GBP 153 to GBP 2,093. New Homes developers continue to turn to us for their marketing needs, especially as they need to compete with much higher resale stock choice than they have had to contend with over the last 10 years. 61% of New Homes ARPA growth came from product with growth of 18% and 15% across branding and property products, respectively. Upgrades also contributed to ARPA growth. Since December, we saw net development growth of 250 developments on the advanced package. And since its launch in spring, 150 developments already on the Ascend package. We saw a 1% increase in overall membership compared to December 2024. Agency membership at June 2025 was 16,382, an increase of 2% on December 2024. We saw the highest retention, 96% in over 10 years. As you can see in the top graph, which indexes agent formation back to 2018, we have seen an uptick in new agent formation, an increase of 68 branches from new partners starting on Rightmove compared to H1 2024. Agent formation has been challenging for a number of years, but we have seen an increase aided by growing supply and demand as well as the H1 rise in completions. New agents typically represent less than half of joiners, a lower ARPA and historically around 40% leave the market in their first 2 years, but we welcome a better environment for new entrants and the current volume of new listings coming to market should help them. Within new homes, we saw an increase of 18 developments since December 2024 to 2,941 at June 2025. This increase was due to adding 97 retirement homes counted within the housing association figure of 63. Net of a reduction of traditional new build developments of 45. The pace of new developments coming to the market remains low compared to previous years. And we heard earlier from Johan about the new homes market and the government support for housebuilding has been well flagged. As a result, we are confident activity levels will pick up again, but over time, likely in 2026 onwards. Underlying costs increased GBP 7 million year-on-year. The majority was people costs, which increased by GBP 3.6 million, with average headcount increasing year-on-year by 7%. Across other costs, we saw a GBP 1.8 million increase in marketing with more weighting in H1 than last year. Technology costs rose GBP 1.6 million, including increased spend on cloud hosting. Underlying operating margin is 71%. As in every year, we expect the margin in H2 to be lower than in H1 as a result of the full year effect of payroll costs, adding some new heads and the timing of technology spend. As a result, we are reiterating guidance of 70% underlying margin for the full year. Our capital allocation policy and guidance for 2025 are unchanged. We will continue to prioritize investment in the business. We will evaluate value-accretive M&A opportunities, after which we will return all excess cash to shareholders via a progressive dividend and buyback thereafter. In terms of financial guidance, we reiterate the guidance set out at full year and the May trading update. Revenue guidance of 8% to 10%. Note that H1 growth will be stronger than H2, given the record half-on-half ARPA growth and growth in development numbers we saw in H2 last year. At an overall level, for the SGAs, we expect absolute growth to be higher than last year, and underlying margin of 70%. That concludes the financials. I'll now hand you back to Johan.
Johan Svanstrom: Thank you, Rory.  So first, just a reminder of our strategic model, which really sets out how we are broadening the business in 2 directions: one, our horizontal penetration across the industry, residential, commercial and data-led opportunities with many segments within them, of course; and two, vertically, our digitization efforts of the home moving journey through what we call the FATML steps, Find, Afford, Transact, Move, and Lifecycle. We see this as a logical framework to leverage our leading platform and data position. There's a clear opportunity to further remove friction and offline processes, which is often involved in the end-to-end moving chain and building businesses with partners on the back of it. It's a multibillion pound opportunity as we have talked about previously. Now at our '24 results, we share the graphics on the left of this slide. In summary, every day, new data builds on to the already 3 petabyte base of data that we have in our platform. We continue to invest in modernizing and increasing product velocity, quality and breadth, leveraging even better all of that data. So the result in H1 has been numerous new product features and enhancements, some notable of which are on the right of this page, but it's certainly not an extensive list. You can see how these span all aspects of our partner base, and they also touch every element of the FATML model. They all boil down to 2 very clear goals set out at the bottom. One, we are increasing even further our engagement with consumers; and two, creating more value to partners. With those, we keep compounding our network effects. So I'll touch on a few of these products, starting with the core. Two great product launched this year in the new home segment set out on this slide. The first box, buyer profiles. So our consumer surveys show that prospective buyers of new build properties overwhelmingly look on Rightmove before they book or visit a tour. And 9 times out of 10, they're happy to share personal information, thanks to our trusted brand. With those buyer profiles, we can equip our new homes partners with more information, enable them to have a better conversation with prospects and help them progress the most motivated buyers. Over 70% of these potential buyers so far have shown to be [indiscernible] and over 80% state that they want to move within 6 months. In other words, we generate very high-quality degree of those buyer profiles. These potential buyers flow through to the second tool shown on the page, appointment request. This is designed to engage and facilitate digitally for buyers to book a viewing on site. Our developer partners state that the actual visit is a really critical part of the sales and nurturing process, and we actively now drive up that opportunity together with them. We're trialing even more direct integration in some developers' calendar systems via APIs, making it even slicker and productive for everyone involved. We have 150 developments on this Ascend package to date, and we continue the market rollout. Second, an update on our strategic growth areas, which Rory mentioned, contributed 7% of H1 revenues and 21% of group revenue growth. The first row of the table just really reiterates our clear right to play in these opportunities, and we now build and increasingly learn more in all these business segments. Operationally, some really great strides forward in H1 and more insights also shaping our approach and yielding results for the following years. For commercial, we have embedded the new API to ingest more complex data. And on the back of that, in H2, we'll start upgrading our property details page to display an even better product to users. We added over 100 new members to the platform, a 34% increase year-on-year. In H2, we'll continue to add partners and together with further product enhancements, we're going to reinforce the platform network effect in the commercial segment. In rental services, we had 270 new partners join Lead to Keys in the first 6 months, of which over 1/3 are entirely new to Rightmove. June was actually our best single month to date in terms of sign-ups. We launched the renters checklist for consumers. It's a feature that enables tenants to track precisely where they are in the process. It's a very intuitive and digital moving journey assistant now right on our site. We just announced that we start connecting Lead to Keys with CRMs in the market, which will enhance further the workflows for partners. And in mortgages, a very strong growth overall. We also launched the property checker in April. It's a global first. This tool enables consumers to add a property as an extension to the general affordability mortgage and principal product. The property checker drives value to 3 stakeholders on our platform. Consumers can get more confidence of potential mortgage payment levels. Our lending partner can get higher quality lead information. And over time, this can constitute added data signals for estate agents when advising property buyers and vendors. And finally, a reminder that the FDAs all reinforce also our core platform and the business in different ways. It's strengthening utility, frequency and, of course, building data sets. But growing into these segments is a long-term strategy for what we believe are large potential TAMs. We constantly learn and we do revisit assumptions about these opportunities. Now moving on to data and AI. We, of course, keep close tabs on how the world of AI tools and search patterns, particularly and GEO versus SEO develops. It's quite dynamic for sure. But in short, our engagement metrics are very stable and growing. And remember that over 85% of our traffic comes organic and direct looking for the Rightmove brand. We see AI much more as an opportunity for Rightmove than a threat. There are a couple of reasons for this. First, again, those deep and constantly expanding data sets summarized on the left of this page. Remember, these are not just big volume-wise, but typically, they're first party. We can put this data to use, not just in generic ways, but into highly relevant context through our property-specific products and services and understanding of the consumers. A first example of opportunity here is our bank of 950 million property images dating back all the way to the foundation of Rightmove, which we now have in the cloud, and we can start exploring for a number of different use cases, all again, specific and relevant to our space. Second, we have brand trust and deep relationships to Rightmove across the entirety of the market. And that constitutes what I'd call a strong UX layer of icing on top of that big data kick. And that layer is very difficult to disintermediate. So we combine data with relationships, with brand, with platform and with product, and we can continue to build differentiated bespoke tool sets and AI really just becomes an accelerant in that job. On the right, a reminder then of our data model framework that we presented earlier. Historically, data was present but less forefront at Rightmove. But we are since a while now investing appropriately in strong foundations and capabilities, and we have top-notch teams running this across both tech and data functions. All parts of this model are critical, and they lead us to be very value oriented. We drive for outcomes as we build the platform, and we certainly think more opportunities to open up down the road, especially, of course, with AI in mind. Now I have a couple of AI-related examples of such value generation on the following slides. First, this is an example from our Data Services division, the rental Automated Valuation Model or AVM. So this is a tool that enables partners to appraise appropriate market rents for properties and that we can also derive internal value from leverage to other use cases. So a bit of illustration here. At a foundational level, the bottom row on the right, by situating now the rental AVM on the cloud-based platform and architecture and rebuilding it with AI tooling itself, we actually have seen a 10x speed on comparable build times, on AI response times for users and on ongoing process updates. Of course, the latter is freeing up the team to do more value-added work and explore for the future. Moving up to the second row of capabilities. We improved market coverage to 99.9%, and we drove a meaningful percentage betterment of both accuracy and confidence. All 3 of these are very important metrics in the AVM or price estimation business. All 3 in combination is therefore what drives most value. One real-world user output on the left exemplifies this. You can see the narrow range about the mean. Now back to the top row of the table, what can it mean in terms of business? Well, we think it can bring meaningful business value over time. The rental AVM supports our core data services proposition for lenders, but it also opens up concrete value to the social housing sector for land acquisition, rental forecasting and comprehensive portfolio valuation. So we see an opportunity to more than triple our potential partners in the sector. And that's, of course, very critical and aligned with the government's affordable housebuilding plan. Next, a couple of other examples of the early days of value creation delivered by AI across our different domains. They're individually exciting, cumulatively become even more important. So taking them in turn, in the consumer space, we explained AI keywords earlier in the year and following tests found that over 30% of keywords selected by users were those prompted by the new and powered up AI-driven algorithm. Phase 2 will be trialed in the second half and an ongoing part of an ongoing build of a more conversational interface that we're offering our consumers. For partners, in this case, our lender, the AI-enabled model for the mortgage and principal flow resulted in a more than 40% uplift in MIP submissions on one cohort compared to its test group. For core partners, we see an opportunity, as an example, to increase the number of partners taking our Opportunity Manager product as our AI models have shown to increase the prediction volume quite substantially. This is not released yet, but it's a great example of leveraging big data that on we sit on. And finally, of course, internal efficiency has a number of different use cases. One here is allowing us to do much more with Rightmove's time in the legal department. So part of the legal team response to data subject access request, sounds pretty boring, but it's pretty important. And now that's actually 4x more efficient, thanks to AI tools. We told you before also how our development teams are all equipped with AI tools since a while, and that AI adoption keeps accelerating on a daily basis with more new tools and fast learning. And that's, of course, very exciting for productivity. Now what I want to maybe finish on here is that I'll definitely say that these data points are valuable and real, but we are still at an early stage versus like the full potential with AI. The industry as a whole, as you know, is evolving rapidly, but it is also truly formidable jungle of tools, quite a lot of hyperbolic marketing of them, both the usual start-up, selling start-ups, but certainly also from the big LLMs, hyperscalers and various software providers. There is massive investment going on in data infrastructure. In parallel with that or driven by that is also a massive token cost drop. And of course, consumers are rapidly taking to trying and using these tools. We're very much on the ball here. We're delivering our business opportunities while moving AI now into the default thinking and into the approach of everything we do. It's a wall-to-wall approach. We think there are many opportunities to capture both small and large use cases as tooling and rationales get clearer because that's still absolutely ongoing on. And we think there's potentially strong ROI from investing further in these opportunities. So concluding, H1 shown again how our platform scale and network effects are strengthening every day. Our data and scale are truly unmatched by anyone else. We have demonstrably increased momentum of innovation and digitization. They will increase and diversify revenue over time, and they will also drive absolute profit growth. For '25, we remain confident in delivering and generating value for our partners and consumers. We're long term very bullish on our value creation potential from Rightmove. So with that, let's go to Q&A. If you can please raise your hand. Yes, there was a lot of hands immediately. Say your name when you're pased microphone and let's try to aim for 2 questions in the first instance, and then we'll double back at this time.
Operator: Great. Can we start with Jess, please?
Jessica Pok: Jessica Pok from Peel Hunt. I just got 2 questions. So the first is the agent formation, very strong in H1. Can you -- and I think you mentioned that 40% is coming from kind of new agents. Firstly, can you talk about the ARPA they're coming up -- coming in with and how you expect the ARPA development to be? And also some color on whether they're letting versus resale would be good. And also for the second half, whether -- how you expect agent formation to be? And then just on the second one, mortgages have been strong in H1 again. And how do you see the second half progressing because less people transacting, get slower housing market. Is there enough for you? Do you expect that number to be a bit weaker or there is a matter of taking more market share in the second half?
Ruaridh Hook: Sure.  So if I take the agent formation question, Jeff. Look, great to see positivity in the market flow through to new entrants feeling that they can start out. We've had a number of years now where it's been really tough for that agent formation, whether that's too fast to market, not enough stock or stock selling too quickly. So great to see the parameters there that are conducive for this agent formation. As I flagged in the presentation, the caveat, of course, is that actually the majority of our joiners are actually from existing customers opening another branch. That's still the majority, that these customers are generally low ARPA, around 3/4 join the essential package. And that's great.  We like them to join a package and then work themselves up the package ladder. So certainly, in the future, opportunity to engage with them from a product level and see that journey upwards. The challenge for them, though, is it's really hard to start out as an agent. You've heard us talk about it in the past that the 2 years is kind of the real pinch point for them. Past 2 years, they become very sticky. But before that 2 years, managing the cash flow, especially the very long time to sell a property and get cash in your back pocket is tough. And so actually, with agent formation, we see almost 40% leave the market within 2 years. But if the conditions stay as they are, which is lots of stock, strong pipelines, a sensible period to sell and house price growth, then really positive outlook for them. I wouldn't say there's going to be a huge inflection suddenly of new agent formation, but hoping to see some of that positively flow through in the second half. I think you touched upon which type of agents they generally go in, a bit of a mix, but mainly in the resale and dual. That's where we see the majority of them come in.
Johan Svanstrom: All right.  And to the second question on mortgages then, but I think a bit of question on H1 versus H2. So first, though, the foundations of this, right? About 2/3 of all buyers need financing. And again, we think we have a great reason to play, and we're showing that already. So we're definitely growing market share in this market. And what we're looking to do is it's not about the next couple of months. It's, of course, always execution, right? But this is a really long-term opportunity to build a pretty significant business and discover new opportunities as we go, I'm sure. The outlook is strong. We continue to do great things, optimize, et cetera. We are definitely getting into experimenting with different approaches, taking, again, a balanced view between short term, medium term and long term. As we mentioned before, we think there's an opportunity in the broker space for a couple of different reasons.  One, U.K.  consumers state that they go 85% of the time to a broker to have that assistance. So we will continue to develop that solution. And secondly, of course, that's a big interest to the industry, particularly agent brokers. But generally speaking, we look very positively at continuing the momentum in mortgages. And yes, rates are part of that. And hopefully, that continues in a good trajectory. But again, it's a long-term opportunity and that's how we build the business.
Alastair Reid: Alastair Reid from Investec. Just 2 for me, too, then. Firstly, I think you've alluded to this before, could you perhaps give any more color on your thinking around any sort of bigger product launches or some changes to package structure in the early part of next year? And then second, on Opportunity Manager, I think we've seen some peers in sort of Europe with similar type products look to use those for a sort of different charging mechanism, charging incrementally.
Ruaridh Hook: Thanks, Alastair.  So in terms of product launches, of course, we talked about Ascend in new homes. So that was a really nice large launch this year in the new home space. We're currently finding a product in a state agency that we briefly mentioned in February, and that is going really positively with some customers. We'll probably look to launch that back end of this year, start of next year. I think the important point to make there is that our monetization model is product-led. You saw that through the disclosure I gave today in terms of ARPA across new homes and EA. We have a very long list and variety of exciting products that's come from our own ideation, knowledge and, of course, input from consumers and from our partners. How we choose to monetize that, we've done it in a variety of ways over the past. We've had it as an anchor product such as native search adverts in Optimiser Edge. We've launched products by themselves with Lead to Keys, LBA, Rightmove Discover in the past. So really, it will depend on how we choose to do that with the products. The main thing is that we continue to deliver products that drive value to partners. And that's what we have done in the past and certainly what we see going forward. I think the other thing I would flag in terms of kind of near-term revenue and ARPA growth in state agency is, of course, the detail that I provided in that Optimiser Edge, showing you we're not reliant on any particular source for those upgrades. They come from multiple different areas. And what's really nice to see is when a customer upgrades, we get that incremental revenue in the first month, but then we see that revenue growth continue as they engage with either more products that they're of the same or new products. That's something we saw in Optimiser 15, Optimiser 20. We guided to you in an Optimiser Edge and really nice to see that come through. So I would say that the top package has a lot of legs still to go. And then, sorry, Opportunity Manager. So for everyone's benefit, Opportunity Manager is a free efficiency product that you can only get with -- on Optimiser Edge. It is effectively a lead sourcing tool. We've actually enhanced that recently with AI to make it far more efficient and accurate, and it's proving popular with those that buy Optimiser Edge and choose to add that. It's not compulsory. You can decide whether you want it or not. We haven't charged for that generally because we see efficiency products in uptake far more better if you enable it as a free product that they can then try themselves and then they can really get the benefit through their own efficiencies and increased productivity. As we said, we're really keen on that space in terms of driving efficiency because for estate agents, the largest cost is people. So anything that we can do to free up their people resource, we see them regenerating that back into marketing. So we don't have any ambitions at the moment to charge for the efficiency product, whether that's Opportunity Manager or the Premium Price Guide, which is the other free product as part of the package. We continue to evaluate the right course for those products, but the main thing for us is to drive adoption up for them.
William Packer: It's Will Packer from BNP Paribas Exane. Firstly, could we have a bit of an update on the competitive context? Your -- one of your peers on the market reported results as part of the CoStar numbers, and they talked to strong gains in traffic share. They've got, should we say, unique methodology for measuring their traffic. So in the context of your data, has there been much movement? I'm struggling to reconcile strong growth with the data [indiscernible] for example. So how are things developing there? And then could you kind of help us understand how aggressive they're spending on marketing and how Zoopla is spending versus yourselves as well? And then secondly, on Slide 4, you talked that Rightmove has a double-digit revenue growth story. And this half, you delivered double-digit revenue growth, which is great. It feels like H2 is going to be a slowdown based upon the guidance. Is it fair to conclude, therefore, that from 2026 onwards, we're back to a double-digit revenue growth story, the capital markets guidance?
Johan Svanstrom: So we keep focusing on that simply.
Ruaridh Hook: So on H2.  So as a reminder, last year, in H2, we saw almost a record absolute ARPA growth of just below GBP 30, driven, of course, by the large migration of Optimiser 2020 customers to Optimiser Edge, almost 1,500 at 250. So in estate agents, we do still expect to see absolute growth in the second half through continued upgrades and incremental product purchases. If you look at membership numbers, we generally see a decline in estate agency in the second half. I probably expect to see the same thing this year, but I think that's the same as what we see in all previous years as well. It's when you then read across into new homes where last year, we saw an increase in development numbers in the second half. We haven't seen that in the first half if you just take traditional new homes development, of course, the uplift in the first half coming from retirement homes. So what we're saying in the second half is, given what we're seeing in new developments coming to market, we're just not seeing that. So we're therefore not expecting to see a growth in new homes numbers in the second half. We've seen almost 3 years of really, really strong ARPA growth in new homes. So whilst we expect ARPA to increase both in EA and new homes, that dynamic of developments will certainly -- we certainly see it to play out in the second half. Look, going into '26, we're not giving guidance, but other than that new homes development number, we are really positive in terms of what we're seeing in upgrades, product uptake as well as performance in the SGA. And I think that sets us up well going into '26.
William Packer: And just to clarify, would it be fair to interpret your comments around peer market share, but you don't see any significant movement between the peers in the first half of 2025.
Ruaridh Hook: Correct.
Marcus Diebel: Marcus Diebel with JPMorgan. 2 questions, 1 for Johan. Clearly, the growth initiatives are working well, mortgages, commercial. There's an ongoing debate clearly that some other players go more aggressively monetizing tenants, building databases for homeowners. I mean Scout is, I guess, the well-known example here. They got rewarded for it. They saw accelerating top line growth, they got rewarded in their share price. Is it -- the discussion is not new, but is it still a deliberate decision not to do more in this context? Or how shall we read this? Is it a U.K.-specific reason not to be more aggressive because clearly, it seems that this has been a success for others. And then maybe the second question, a bit related to this is on data. You highlighted the example in terms of the rental market. You started already showing price suggestions in sales as well. It seems that the range is still pretty wide in terms of those price ranges. What are the ways to make that product better? And maybe what's the internal feedback on that where you actually stand?
Ruaridh Hook: I think we have to go both.
Johan Svanstrom: Chime in.  So on the first one, and I think you specifically referred to opportunities for further consumer monetization, right? And obviously, Scout stands out a little bit across the different peers. So I think to that point, and they've done an impressive job. I think there are definitely some differences between the German and U.K. market, which you need to keep in mind. It's an even bigger rental market. Some of that comes from historic both competitive moves and the fact that the consumer pays for the equivalent of the referencing here the credit check, SCHUFA. And Scout obviously moved that into a product that they could charge for and into a subscription product. So again, great, but I think slightly different conditions. We actually had some changes in this country back to, I believe, 2017 or 2018 when there was a sort of a clamp down on tenant fees charged by the industry. So again, just as an example of that, it's not all apples-to-apples. Now generally speaking, though, we are indeed looking at how we can both bring more value at no cost, but also generate revenue from consumers, right? The mortgages in principle and the constant evolution of that now with the property checker and more things to come is one example. We obviously don't charge a consumer per se, but it's another way for us to monetize traffic. And similarly, on the lead to key side, right, there is an ancillary service trail there. What we're doing now with bringing more of that consumer journey assistant fully digital, nurtured, et cetera, online, of course, might drive more opportunities in the future. But as usual, we think really, really on these things with high quality in mind. And you can say, well, why not?  Yes, that's true.  But it's sort of one step at a time. Now if you just extrapolated the opportunity for higher consumer monetization in different forms over time, absolutely.  It's there, right?  But it's not that, but we have a couple of initiatives going on really already, and they're building, and that's exciting. Sorry, on the data side.  Yes.  Look, a reminder that this example was from the rental side of, which we've had for a while, but it's just significantly upgraded through all of what I said. And the display there, look, it might be an interpretation that couldn't that be even tighter. Again, the important thing is also underneath what we said about the coverage and the other sort of quality aspects, which has moved up, right? And if you think about that from particularly a lender and an institutional investor perspective, they are very, very important aspects, right? The sort of consumer view of it still sets a range. But that's also, we think, our job, right? We want to provide an increasing level of either precision or information -- but we're not in the business of telling either consumers or partners exactly what to do. So it's an ongoing journey that might tighten over time and tighten in some examples and a little bit wider, right? There's a lot of context around each and every property, of course. So we're just super happy about that step forward. And again, great to see an example of AI like turbo boosting certain aspects of it, which wouldn't have happened a couple of years ago.
Joseph Barnet-Lamb: It's Joe from UBS.  A couple from me, please. Firstly, on commercial, we're obviously almost a year on from the sort of relaunch of the site, and we're seeing very good customer growth. ARPA, however, is implied it's reduced. Is that a blend of new customers coming on being smaller or taking lower packages? Or is there anything strategically going on from a pricing perspective there? And then secondly, on other, i.e., non-SGA, there was a bit of comparative weakness there. Can you talk a bit about the headwinds you're seeing in overseas and third party? And how should we think about that into 2H?
Ruaridh Hook: Sure, of course.  So our ARPA guidance bear in mind that we expected to win some smaller customers. I think we mentioned that. And so it bears that in mind that they do enter on to that lower end of the package and ARPA range. In terms of pricing this year, we've done 75% of our pricing to date, and it's gone really well, positive and our long-standing pricing policy remains. So no impact in that sense. And in terms of ARPA, really happy to see it come from those Optimiser Edge upgrades I mentioned, but also it's the customers feeling comfortable to purchase incremental product within their package, and we still see that. And that's great, and that's a really good benefit of our flexible packages. And as I mentioned, that's around them taking up property products, that's great for us to see because we like the fact that our products can really help them as the market changes and, therefore, we are a real business partner to them whatever the market is. In terms of other revenue, so we saw 3% growth, as I mentioned. Just to reiterate for everyone, that's data services, overseas, and third party in there. They've all had their own headwinds. If you look at overseas, they continue to struggle with whether it's tax concerns in the Spanish market, high FX or just general difficulty for British home movers. That business unit has seen those challenges for a number of years. Third party is really dependent on the confidence of advertisers. So for everyone's benefit, we monetize that through advertising on site, which we limit for a consumer experience, and that can be impacted if advertisers' confidence is not, and the start of the year, we saw a little bit of that. Data services continues to go along quite nicely. It's particularly in those 2 areas we've seen some of the headwinds. And we probably expect to see a little bit of that going forward into the second half.
Joseph Barnet-Lamb: Maybe just a follow-up on commercial. And it's probably fair to assume that those trends will continue because you've got all the big commercial partners already effectively, right? So the incremental volume growth or partner growth is always going to come from smaller people?
Ruaridh Hook: Sorry, yes.  So in commercial, we have -- we've seen ARPA slightly lower. That's because of dead right. We've had a number of the larger players already. So really, the customer acquisition has been on some of those smaller ARPA customers. Again, for us, it's great to see that growth, 17% since December, 34% up year-on-year and engaging with the site really well and bringing stock. But yes, they are smaller customers.
Andrew Ross: It's Andrew from Barclays. First one to follow up on that question on commercial. I mean, obviously, at the CMD a couple of years ago, you spoke about 20% to 25% revenue growth for commercial from '23 to '28, still growing less than that. I think it was always the case you expected it to grow less than that at the start of the forecast period and then it was going to be a hockey stick as you kind of build up the product and push monetization. So there's a mix stuff going on, [indiscernible] question. But if you think about the underlying kind of where you are on the product and when you start to push monetization, where are we? And is kind of '26 year direction you can start to feel comfort to do that, which I think the CMD slide that you have planned? That's the first question. And then the second one is on mortgages. So it sounds like a lot of the volume is still with nationwide. You sound pretty good on that. But where are you at on the mortgage broker side of things? Like how many you have signed up? It feels like you haven't spoken much about that. The product has been out there for a while. Where are we in terms of building kind of real liquidity on the mortgage side?
Johan Svanstrom: I can take a crack this time. I think on commercial, indeed, if you look at the end market certainly didn't help, right? And again, that's just a fact, and we talked about that before in the initial period here. Now we see a definite sort of improvement in sentiment, and we see it in the demand numbers also on our commercial real estate pages throughout this half year, but that's kind of where we started out, let's say. From an operational and product building perspective, we're doing exactly what we wanted to do. And we are indeed doing -- '24 and '25 is a lot about the underpinnings of the product with some gains along the way as we also talked about. So to your point, yes, we look to '26 to be the year where we start getting more into the commercial or product or package sort of upgrades or modifications or build-out from our perspective, but obviously commensurate with clocking in on these other things and seeing where the market is as well. So we're tracking on it. We absolutely believe in a big opportunity here going forward. And we've had a couple of, let's say, those puts and takes to date. We will look positively at it from here on. On mortgages, yes, we -- so on the broker side, so we have a small handful of broker partners today. And one of the things that we are building and what I alluded to happening a little bit during the second half as well is enabling us to scale our broker partnerships in a bigger way. And that comes back both to the consumer paths and entry points and so forth on the site because what's important to remember here, we have so much usage of our site and such a big sort of top funnel universe in terms of where people are in their thinking or moving journey, right? Again, some people are browsing and it's like, oh, affordability, that would be interesting. I've been renting for the last 12 years. It doesn't necessarily mean that they're ready to pounce on a property right now. But that same user having rented for 12 years, if I use the example, have maybe absolutely decided and say that all the money is very qualified. And we love the fact that we have that top funnel, but compartmentalizing or segmenting and understanding that more over time is important, and that's what we're doing. And secondly, then providing the right type of funnels to a lender partner, to brokers, to different use cases is another critical piece. So again, we're building the infrastructure to be able to partner with many more brokers. For us, that's not a one-to-one relationship that we want to do because technically, there could be a big volume of them. So it's a little bit of preparing the ground in that sense.
Operator: Okay. That probably takes us up to time. So thanks all for coming.
Ben Winstanley: Thanks, everyone. We appreciate it.